Gerald Corbett: Good morning, everyone. Welcome to our interim results presentation. I think you know our Finance Director, Matt Dunn, who’s sitting there, looking extremely interested at the end of the chair. He’s going to take us through the results in just a second. And Simon Litherland, who’s been our Chief Executive quite a while now, will then talk about the business and all the different things that are going on inside the business and then they’re going to lead Q&A. Just to check, has everyone got their phones switched off, including the executive? And does everyone know where the exit is in case there is a fire or something? Yes, good.
Simon Litherland: Thanks, Gerald, and good morning, everybody. Over the next 20 minutes or so, I’ll give you an update on the progress we’ve made in the first half of the year against our strategic priorities, and our plans for the second half. Matt will then review our financial performance and I’ll sum up before opening up to some Q&A. Before we start, I’d like to take the opportunity to say thank you, to Gerald and acknowledge the huge contribution he’s made to Britvic as he steps down from Chairman in September, after 12 years. As many of you have attended these events and followed Britvic over the years will know, Gerald as a unique and unflappable and unmanageable Chairman. He has calmly steered Britvic through its first 12 years as a PLC, overseeing its IPO and of course, our expansion into Ireland, France and lately Brazil. Our market cap has more than tripled under his chairmanship and he’s leaving a considerably stronger and bigger business than when he started. So I’m personally grateful to you as well, Gerald, for your unstinting support of me and my executive team, and we wish you the very best in your future endeavors. In terms of the formalities, Gerald will be replaced by – as Chairman by John Daly. John has already made a significant contribution to Britvic and the board over the last 2 years, where he’s been serving as a Senior Independent Director. And he, of course, brings over 30 years of international business and management experience to his new role. I look forward to working closely with him as we continue to build an exciting future for Britvic. John in turn will be replaced as SID by Ian McHoul, and Sue Clark will take over the chairmanship of the So onto the results. The first half of the year has, as expected, been challenging in the markets in which we operate. However, we delivered a strong first half performance by continuing to proactively execute a range of major initiatives that deliver our short-term performance aspirations as well as accelerate our long-term strategy. Our strong performance comes from revenue growth in all our markets and demonstrates the resilience of our business, our ability to successfully manage cost inflation and the effectiveness of the strategy that we laid out in 2013. We are confident of meeting full year market expectations, whilst maintaining our focus on creating the long-term drivers of growth and shareholder value. We have made strong progress against each of our strategic priorities. We are profitably growing our core markets through utilizing the breadth of our portfolio and the low or no sugar bias of our brands to best meet evolving consumer and customer needs. Each of our core markets has delivered revenue growth in the first half and our organic margin continues to grow as we successfully deal with cost inflation. Our GB stills performance has continued to improve, and our innovations are resonating well with consumers and customers alike. Internationally, after a successful first year in Brazil, we have expanded our presence through the bolt-on acquisition of Bela Ischia in March, and we continue to build awareness and trial of Fruit Shoot in Brazil and the USA. We are just about at the mid-point of our transformational business capability program. The commissioning of the second phase of investment into the GB supply chain is well underway, and the timing and benefits case remain on track. Through our fourth priority being trusted and respected in our communities, the commissioning of the second phase of investment into the GB supply chain is well underway – sorry, we continue to show industry leadership on public health and our supply chain and investment is already delivering environmental benefits. I’ll now headline our progress against each of the pillars in turn. So starting with generating profitable growth in our core markets. We’re encouraged to see an improving stills performance across our core markets, driven by the strength of our market-leading brands, our focus on healthy hydration and enough innovation in flavors and pack formats. In GB, Robinsons is back into volume growth. We’re broadening the shoulder of the brand to target new occasions and customers. For example, dispense in leisure outlets such as Subway and KFC, SQUASH’D to aid on the go hydration is up 10% year-on-year, and we have a new 2 litre and 900 ml pack for specific customers. 12% of revenue in the first half has come from new pack formats. The second half is also big for Robinsons featuring our biggest ever Wimbledon program and the launch of the ready-to-drink Refresh’d, which I’ll talk about shortly under innovation. In Ireland, MiWadi continues to drive growth in the SQUASH’D category through the launch of MIWadi Zero, now MiWadi Mini. And we’ve successfully leveraged the strong brand equity of Ballygowan, our market-leading water brand, which continues to drive strong growth to the benefit of both brands. Fruit Shoot is growing in our core markets as we continue to innovate to broaden the brand. In GB, Hydro continues to deliver double-digit growth as we capitalize on the growing number of kids drinking water and expand Fruit Shoot’s reach beyond the core juice drinks category to include older children. In France, we delivered 10% revenue growth for Fruit Shoot, supported by the launch of a new market-specific Iced Tea flavor, and we’ll shortly be launching Fruizeo, a mixture of spring water and 50% juice with no added sugar. Innovation is a key part of the growth strategy in all our markets and is focused on meeting the evolving needs of our consumers looking for healthier or "better for you" brands. Nurturing existing innovation is our first port of call. Purdey’s and Purdey’s Edge is leading the growth in evolved energy, a healthier and more natural alternative to traditional energy. With retail sales value increasing by 74% year-on-year, and our current campaign, again led by Idris Elba, has landed well, which you saw a couple of – bits of earlier on. Drench also continues to grow as we tap into the demand for tasty full flavor lower-calorie drinks on the go. It has grown 14% retail sales value over the past year. It is a key part of the portfolio in winning the on-the-go business and customers such as Subway. Spritz continues to attract younger drinkers into our J2O brand and is the driver of growth in the adult juice drinks category, with retail sales value increasing by 10% year-on-year. It offers great taste and refreshment, which is low sugar and low calorie, falling under the soft drinks levy and under 65 cal per serve. This year, we’ll again broaden the shoulders of Robinsons with the launch of Refresh’d. This all-natural juice and spring water drink capitalizes on the growth in water consumption and growing demand for natural products. Refresh’d is available in a 500 ml pack format and as well as being low-calorie, it has no added sugar, no artificial sweeteners, flavors or colors. With the range of 3 fantastic flavors, the initial response from retailers and consumers alike has been extremely positive. In France, we’ve built on the success of Pressade and its organic positioning by extending it into a breakfast juice range called Pressade Bonjour, which is performing very well. And in H2, we’ll continue to extend Pressade into the syrups category, available in 4 flavors that will complement our existing Teisseire and Moulin de Valdonne brands. GB carbonates is an increasingly competitive market, intensifying as we head towards the soft drinks levy introduction in April 2018. Despite the heavy competition, we’ve delivered an excellent first half with volume, revenue and price growth. We implemented a set of revenue management changes after Christmas, which resulted in a more subdued second quarter, but we have seen a return to growth more recently as the rest of the market has caught up and competitive pressure has normalized. As you can see on the slide, average realized price in Q2 increased 2.2% and that is after the dilutive effect of growth in food service and leisure, where dispense is prevalent. Pepsi Max has continued to perform very well and gained value share in both the first and second quarters, despite a high-profile competitor marketing and trade activity. Independent taste test still show Max consistently outscores the competition, reinforcing its core max taste no sugar message. We’re following up with the success of Max Cherry with the recent launch of another flavor extension, Max Ginger. Ginger as a flavor is booming in the test, complements cola perfectly, offering another opportunity to pique the interest of new existing consumers with something a little different. Elsewhere in carbonates, 7UP led by sugar-free variants and R Whites lemonade, which we relaunched last year with new flavor variants and a heritage pack, have been generating solid growth this year as well. Turning now to our international expansion, starting with Brazil. It is well-documented that the macroeconomic and political situation in the country remains challenging in the short term. Long term, however, the opportunity remains huge in a country of over 200 million people of growing affluence in what is also the largest concentrates market in the world. In March, we successfully completed the bolt-on acquisition of Bela Ischia, the leading liquid concentrates and juices brand in Rio de Janerio and Minas Gerais, the 2 largest states in the country for these categories. We’ve taken operational control and integration is very much on track, and we now anticipate we’ll deliver a minimum of the BRL 10 million in cost synergies that we previously quoted. Bringing ebba and Bela Ischia together will strengthen our brand portfolio in Brazil and complement our existing strength in Sao Paulo and the northeast of the country and the last to compete more effectively against the ladder – within the ladder – larger part of the sector. We now own 3 fantastic brands in, Maguary, dafruta and Bela Ischia, and in the future, we plan to bring to bear our knowledge from other markets to extend the reach of these brands into new market segments. The combined footprint is also accelerating our rollout of Fruit Shoot. Before the acquisition, we had already executed a successful launch of Fruit Shoot in Sao Paulo, a city of 20 million people in under 12 months from acquisition. And building on this success, we are now in the process of using the combined ebba and Bela Ischia footprint to expand into new territories in Sao Paulo state, Rio and Minas Gerais. As I mentioned earlier, we’ve continued to make progress in the USA. The scale of the opportunity is large, yet it is a complex and competitive market, and we’re not oblivious to the hurdles we have to overcome if we are to build a successful business there. We’re focused on building both awareness and trial of Fruit Shoot and upweighting our operational performance to deliver consistent growth in-store execution. We’ve upgraded packaging, launched Fruit Shoot Punch to target the largest flavor-profile in the U. S., and we’ll be expanding the range with the launch of Hydro-flavored water this year in both still and sparkling, which is a first for Hydro. We’re in the process of range reviews and are confident that we’ll retain and hopefully, expand our current listings and shelf space. While we continue to win new customers, such as Meyer, the most important thing at the moment is to build the brand by getting the right quality distribution and in-outlet execution. Our Fruit Shoot singles model will continue to leverage the Pepsi system, which still offers huge growth opportunities given the scale of their – and reach of their listings. We have continued to build listings this year and have regained the key accounts that were lost during the route to market transition. Perhaps most pleasingly, we’re going back into Dollar General from June, which will increase our reach by about 8,000 outlets. In the second half, we’ll also leverage our Fruit Shoot marketing campaign, which is called "It’s My Thing." this is a multi-market campaign that we are running across all our markets, giving us consistency of brand message as well as AMP efficiency. Let’s take a minute to have a look at the campaign. We’ll show the Spanish language version where we produced for the growing Hispanic market. Distribution of the ad will be digital rather than TV, to maximize our targeting and effectiveness of the investment there. Can you show that video, please? [Video Presentation] Thank you. As we reached the midway point of our £340 million 3- year business capability program, we remain on track to deliver the planned efficiency and commercial benefits and restate our commitment to a minimum cash return of at least 15% on an ongoing basis. A large PET lines and new warehousing are now fully operational at both our London and Leeds factories, which enabled pack flexibility to unlock commercial opportunities. For example, we’ve put in a 3-litre carbonates value pack and a new 1.5- litre contour bottle into the market. Enhance business continuity with the ability to make products across multiple locations in covenants and stills on the same lines and of course, improved efficiency and environmental metrics, which we’ll talk about shortly. Our Rugby site is currently undergoing significant transformation with 3 new can lines now installed and then the prices are being commissioned. We are currently dual-running old and new lines to meet demand and maintain service levels. At the same time, ground works are ongoing to prepare for the new high bay warehouse and a new state-of-the-art aseptic line, which will be installed once the can lines are fully operational. Undergoing such a major change program has required a huge effort and level of commitment from the Britvic team. Implementation challenges are inevitable with program of this scale. However, I’m proud of how the team continue to overcome obstacles and keep us on track to deliver against the planned timeline and benefits. On completion, we will have step changed our business capability, transformed our GB supply chain and created a platform to deliver long-term sustainable growth. In the first half of the year, we have continued to build sustainable business that is trusted and respected. First, continuing on the supply chain theme, I’m pleased to see our investment in GB supply chain is leading to environmental as well as efficiency and commercial benefits. In F’16, our new high- speed PET line in Leeds meant that we could lightweight our bottles, which avoided the use of 155 tonnes of PET packaging, equivalent to saving 443 tonnes of CO2. Already in the first half of the year, we have seen a 6% reduction in our water ratio and a 3% reduction in our effluent ratio across the group. As we continue to look at ways of minimizing our environmental impact, we’ll also be trialing the use of recycled PET in the second half of the year. On health, while the introduction of the soft drinks levy is clearly a source of market uncertainty, we’ve been taking proactive action for several years, as you know, to help consumers make healthier choices as part of our strategy. And so we are not being forced to respond to this tax in a knee-jerk way. Since 2013, we have removed 19 billion calories from GB diets on an annualized basis through reformulation, innovation and marketing our brands responsibly. We took bold early decisions to remove full sugar Robinsons and Fruit Shoot as the category leader. We have consistently focused our innovation on low and no-sugar products, continuing in this half with the launch of Robinsons Refresh’d and Club Zero Rock Shandy as examples in Ireland. We have a responsible marketing code and 83% of our GB marketing spend was focused on low or no sugar last year. We also work with our customers to make it easier for consumers to make healthier choices. For example, from July 2016 to July 2017, Subway will have removed around 3.7 billion calories from British diets after converting to the Britvic portfolio, about 2 million calories per store annually. We have also worked with our customers, such as Tesco, we have supported their current campaign to encourage healthier choices. The net result of all this is that, Britvic offers the best position for soft drinks portfolio in both GB and Ireland, offering consumers choice, while encouraging the use of healthier soft drinks. In GB, we expect that 72% of our total portfolio and 94% of Britvic owned brands will be underneath or exempt from the soft drinks levy when selected. So I’ll now hand over to Matt to update you on our financial performance for the first half of the year.
Matt Dunn: Thanks, Simon, and good morning, everybody. Before I go through our financial results, I’ll spend a few moments on market conditions. The challenges we face, particularly in grocery, are well documented and the category remains highly competitive. However, we have seen an important change in the marketplace with signs of a return to value growth in the soft drinks category in our core markets as deflationary pressures have eased somewhat. In GB, value growth was particularly strong in the second quarter, whilst in the on- trade, the market was robust as consumers continue to value out- of-home experiences, such as casual dining, cinema and spending time with friends and family. Ireland has shown similar consumer traits to GB, however, the pricing environment in the Republic of Ireland has been more challenging and the weakening of sterling against the euro has resulted in some cross- border shopping to the north. In France, the impact of major grocery retailers consolidating their purchasing has remained challenging for suppliers and the overall market has been very subdued. However, the categories in which we operate in have fared better. The macros in Brazil are well documented and are adversely affecting all consumer goods categories, with soft drinks, no exception. Conditions in Brazil have been consistently challenging across the first half of the year and remain so today. In terms of our financial performance, the first half has been a good one with strong underlying performance and the benefits of foreign-exchange translation resulting in an 11.5% increase in reported revenues and a 6.47% increase in reported EBITA. The stronger euro in particular has benefited our translated results. Although, this has diluted our margin, given the lower margins in France, driven by private label and Ireland driven by our Counterpoint distribution business. On an organic basis, our margins has in fact expanded by 10 basis points. Adjusted EPS has increased by 9.2%, benefiting from the strong EBITA growth combined with a one- off tax benefit in France relating to the lower – the lowering of future corporation tax rate which has a beneficial impact on our deferred tax liabilities. Given our strong performance we have declared a healthy 2.9% increase in the interim dividend. We have maintained net debt leverage within our range of expectations, including the completion of 2 bolt- on acquisitions in Ireland and Brazil. And importantly, our free cash flow has improved at the half compared with last year, despite investing significant capital in our business capability program. Turning now to our results on an organic constant currency basis which most accurately reflects our underlying performance. Group revenue was up 3.7% with good growth in both the first and second quarters. Despite significant inflationary and FX pressures, our rigorous approach to revenue management combined with a proactive approach to cost control has delivered a 5.1% increase in group EBITA, as I’ve mentioned, an increase in our organic margin of 10 basis points. As Simon has already said, most pleasing of all was the fact that this result was driven by revenue growth in all of our markets. I will now take you through our business unit results on a organic constant currency basis in more detail. GB carbonates delivered robust revenue growth with a 2.1% increase in volume and a 9.4% increase in ARP. Brand contribution and margin declined as we anticipated, primarily due to inflationary cost pressures from raw materials and FX across the first half of the year. Early in the second quarter, we successfully led the carbonates category in implementing changes to the price and promotions framework in order to recover margins. We did see a more subdued second quarter as a result, but more recently, the competitive dynamics in the category appeared to have normalized and this has resulted as Simon has said, in a more typical performance in recent weeks. A Simon also highlighted, even during this transitional period, Pepsi Max has continued to take share. Whilst GB stills’ revenue declined 2.6% in H1, we see the trajectory continuing to improve across the quarters. Encouragingly, volume in Q2 was strong and resulted in GB stills volume returning to growth at the half year. ARP declined 4% as a result of both pricing pressure on Robinsons and grocery and also adverse mix. Despite a strong Christmas, J2O saw a weaker second quarter as we implemented changes to its price and promotions framework. Fruit Shoot benefited from growth in the flavored water variant Hydro in the high-juice My5 variant, both generating double-digit volume increases. The margining decline in stills was less pronounced than in carbonates due to favorable A&P spend. We anticipate a step up in A&P spend in the second half of the year, particularly in stills, to support the major innovation launches and marketing campaigns we have planned. The strength of our GB portfolio, leadership in low or no sugar and innovation has played a pivotal role in winning and retaining key customers. Building on the success of winning Subway last year, we have successfully retained both the KFC and Mitchells & Butlers business. Performance in France was strong in the first half, with both volume and ARP growth resulting in a 6.5% increase in revenue. Pressade was the primary driver of growth, largely as the result of the Bonjour juice range launch. Brands continue to grow ahead of private label and now account 62% of revenue compared to 50% on acquisition in 2010. The higher margin and syrups brands were broadly flat during the first half of the year. Ireland has continued to grow with both own brand and Counterpoint wholesale revenue increasing. Own brand growth was led by the stills portfolio with Ballygowan and MiWadi, the major growth drivers. Counterpoint benefited from an improved offering across its alcohol and snacks range as well as a small benefit from the acquisition of East Coast Limited in Q2. Whilst brand contribution increased, margin declined largely as a result of continued strong growth in the lower-margin Ballygowan and our Counterpoint distribution business as well as rising product costs. Our international division has generated revenue growth across all channels with the exception of Asia, which declined following the withdrawal from India last year. The USA has benefited from the launch of Fruit Shoot multipack last year as well as continued growth in the single-pack format. Whilst volumes in Benelux was subdued, both revenue and brand contribution have increased as a result of disciplined revenue management and a focus on generating value ahead of volume. Overall, international brand contribution improved significantly as a result of the strong pricing growth in Benelux and the growth in the USA. Brazil has benefited from the inclusion of the Bela Ischia acquisition, following its completion in early March. The organic performance ebba across the quarter was impacted by the macroeconomic challenges currently faced in Brazil. Whilst organic revenue increased, this was as a result of significant price increases achieved to recover product cost inflation. Organic volumes declined 10% in the first half. However, revenue and contribution both increased, reflecting our robust approach to both revenue and margin management. We have continued to stay relentless in our pursuit of delivering cost efficiency. Our A&P spend reduced by £1.6 million on a constant currency basis. However, the bulk of this came from efficiencies in our nonworking A&P spend, which continues to reduce as a percentage of our overall investment. We continue to actively seek efficiencies in agency fees research and production costs in order to invest a greater percentage of our spend in consumer-facing activity, including some upweigthed investment in our selling costs in support of incremental sales activity. In this current financial year, we anticipate us spending more second half phase than in 2016, reflecting the rollout of the Fruit Shoot "It’s My Thing" campaign, our U.S. digital investment and activity to support the new Robinsons Refresh’d innovation. Our fixed supply chain costs have increased largely as a result of incremental depreciation from our GB investment program, whilst overheads and other costs have benefited from our rigorous approach to cost control. As we highlighted at our preliminary results in December, we have taken proactive cost action by extending our business capability program to incorporate £5 million of overhead savings and we have implemented the actions to deliver this benefit. This includes a flattening of our structure in some areas as well as reducing duplication between our business units through the combination of some roles. Turning now to cash management, where we have continued our disciplined approach. As I’ve already mentioned, despite planned investment in our BCP program, our free cash flow has improved at the half year when compared to prior, benefiting not only from the reversal of the 53rd week, but also from significant focus on working capital management. At this half year, our adjusted net debt-to-EBITDA ratio sits, as we anticipated, at 2.4x. As a reminder, the half year has always been a working capital high for us, as inventory levels rise ahead of the peak summer trading period. This has been more pronounced this year. As Simon mentioned, we are now almost at the mid- point of our business capability program and at our Ruby site in particular, there is an extensive program of work underway. With the project of this size, you would always encounter some challenges, therefore, we took the decision to hold additional stock to mitigate the risk at this crucial stage of the program. With the business capability program in full swing, capital spend increased by £29.5 million. In addition, we have invested over £60 million in the two acquisitions we completed this year, in Brazil and Ireland, in pursuit of our longer-term strategic goals. Despite these investments, we anticipate, full year debt leverage will be between 2 to 2.2x, well within our stated 1.5 to 2.5x range for adjusted net debt-to-EBITDA. As we move towards the end of our BCP program and start to accrue its benefit, we should see a significant step up in free cash flow generation. Given the strong underlying cash profile of the business and our expectation is that, this will continue to grow, supported by our investment program, we remain committed to a progressive dividend policy with a further 2.9% increase in the interim dividend. Underpinning our financial performance is a strong balance sheet, which gives us the ability to invest in support of our growth drivers, despite the tough market conditions. In February, we successfully refinanced a £175 million of U.S. Private Placement debt at an attractive rate of 2.51% with a good spread of maturities. Combined with the balance of debt in place and the revolving credit facility, we have total debt facilities of £958 million at our disposal. Capital spend for the full year is still expected to be in the range of £145 million to £155 million, as we continue to invest in our business capability program. We now expect our full year tax rate will be at the lower end of the 22.5 to 23.5x range, as I shared at the prelims in November. This is due to the one-off benefit that we have recognized at the half year for changes to future corporation tax rates in France. I am also pleased to announce that, we have reached agreement with the trustees of the GB Defined Benefit Pension scheme with regard to the 2016 triannual valuation. From 2017 to 2019, we will continue with the current arrangements of payments totaling £20 million per annum. Based on the current projected funding requirements, this will fall to a contingent amount of £10 million per annum from 2020 onwards. These projected payments will be reviewed as part of the next valuation in 2019. In summary, we have got a lot done in the first half of the year, and we’ve delivered a strong financial performance. We have delivered healthy growth in organic revenue and EBITA and have underpinned this growth by continued disciplined approach to revenue management and a relentless focus on cost efficiency. We have again increased our dividend, and the robustness of our balance sheet leaves us well placed for the future. As we look ahead to the important summer trading period, our performance in the first half and our investment plans behind our second half commercial plans give us confidence that despite a tough comparative in Q4 and the likelihood of increased pressure on consumers, we will deliver performance in line with market expectations for the full year. I’ll now hand back to Simon to share his closing thoughts.
Simon Litherland: Thank you, Matt. So before we go into Q&A, let me just summarize our overall strategic progress. I think, today, we’ve demonstrated that our strategy is working. We have consistently taken early initiative to address industry challenges, such as our ongoing health program, well before the appearance of the soft drinks levy or our proactive action to reduced overheads last summer in anticipation of raw material increases and adverse ForEx. In the first half, we’ve delivered revenue growth in all our business units despite testing external conditions, and we’re translating this into profit, thanks to disciplined revenue management and the relentless focus on cost, resulting in organic margin growth. At the same time, we’ve completed two complementary bolt-on acquisitions to accelerate our longer-term progress. This is a resilient business that gets things done. We are also investing for the long term, building a business for the future through innovation into growth categories, increasing our international footprint and transforming our GB supply chain. Through all those, we offer shareholders’ sustainable profit growth and a progressive dividend policy underpinned by cash flow, which will improve materially following the completion of the business capability program next year. The investment case, therefore, remains strong. So thank you for listening, and we look forward to your questions. If you could follow the usual procedure of stating your name and company, that will be beneficial for those listening on the webcast, please.
Q - Andrea Pistacchi: It’s Andrea Pistacchi from Citi. Have a couple of questions on revenue management, please. Firstly, if – you referred to this new revenue management approach in GB. If you could be – talk a bit about what it’s really about, what you’re doing differently and whether this is a tactical thing you’re doing or whether it’s a more fundamental shift in your GB strategy. In part connected to this, you started this different way of promoting, I guess, in Q2. So the impact of the cost inflation through H1, you only protected the second part of H1 in terms of margins. So with this better revenue AOP going forward, should we expect contribution margins in GB to look better in the second half? And finally, value coming back to UK grocery, how – what’s happening to price points of private label? Do you see that having bottomed out and starting to improve?
Simon Litherland: Right, okay. Let me – I’ll take 1 and 3, if you want to do 2, Mat. So I mean, you referred to new revenue management, I’m not sure that it’s particularly new. I think we’ve been trying to manage it for some time. I guess what’s different is that we’ve had 2 or 3 years of deflationary environment and that’s now shifted with raw material increases, obviously, augmented by the exchange rate. And what we’ve been trying to do consistently through that period and into this financial is manage revenue both at a headline level, but even more importantly, at a promotional price level and how we manage our promotional intensity. The key thing there is, obviously, doing it in a way that is positive for our customer base as well, so that we can secure the future in display, which makes a big difference to our category. Beyond that, it’s the usual of SKU mix and pack size, channel mix and brand mix that kind of contribute to the whole picture. But I think what we have done and demonstrated through Q2 is we’ve taken proportionate pricing and targeted pricing that works for us, works for our customers and, hopefully, works for consumers in a very controlled way and have effectively got away what we wanted to get away, and I think it’ll certainly be beneficial for all parties, all 3: customer, consumer and Britvic.
Matt Dunn: I mean, obviously, no. We’ve deliberately stayed away from giving guidance on margins, and I think the reason for that is because there were so many moving parts as well as, obviously, your absolute level of realized price, this product mix, this channel mix, et cetera. But I think it is fair to say that the benefits from our revenue management activities will be more felt in the second half of the year than they would have been in the first half of the year. But at the same time, some of the cost self-help that we’ve had from a Coke’s perspective would be equally split across the 2 halves.
Simon Litherland: And your final bit about UK grocery, I mean, yes, you are starting to see inflation come back into market. I think that’s widely talked about. It does vary by subcategory. So for example, the squash category has remained challenging from a price perspective, as you can see in our stills performance. Although, what I would say is that, even with that challenge, the ratio of Rob’s price to own label has in fact increased over the period. So we continue to focus on managing value within our stills brands just as much as we do within Cobb’s. And another example of that would be the pricing that we would have taken in J2O, June, quarter 2.
Andrea Pistacchi: Just 3 things. The full year outlook for A&P as a percentage of own brand’s revenue. I was wondering whether you can give an uptick on direction of that. Secondly, I was wondering perhaps you could give us a bit more granularity about ongoing brand building in the United States for Fruit Shoot. And then thirdly, and obviously, it’s good to have you stating with confidence that you expect to meet the full year expectations. I mean, is there anything apart from some of the things you mentioned? But I mean, is there anything internal that’s just helping you predict the business better? I mean, are your systems much better than they were, say, a year ago that’s helping you look forward on to these?
Simon Litherland: On A&P, I guess, there’s a couple of things going on there. In the first half, we’ve had fewer of our big campaigns, so they’re more weighted towards the second half. So the trend would be increased A&P in the second half. But on a positive note, we are also, and you can see it on the numbers reducing on nonworking spend that continues to be a focus for us. And we’ll continue to be so into the new year. So I would anticipate that A&P will tick up in the second half and will be – going to increase year-on-year by the time we complete the full year. In the USA, the brand is still at a fledgling stage, certainly in multi-pack. Single-serve continues to do well. It’s profitable in its own right. And we’ve kind of maintained 17%, 18% volume share within single-serve. And we’ve continued to progress with multi-pack. Grocery listings have grown from 7-odd thousand outlets to around 10,000 now, with a weighted distribution of around 34%. But it’s very very variable store-by-store or customer-by-customer in terms of the quality of distribution. So the big focus for us going forward, yes, obviously, we can continue to increase our distribution footprint, but just as, or probably even more importantly, it’s around quality of distribution and in-store execution. So where are we in the shelf, how many facings, is it visible, all that sort of stuff. And to complement that, we have the same global It’s My Thing Fruit Shoot campaign, which will be – which is up and running in the U.S. from this month, which will be digitally led and influence [indiscernible] program. So we’ll start to do some marketing activity to build the brand as well. But what we’ve found over the last few years is getting in-store right is probably the biggest single driver in store and trial is also a very positive mechanism for us. Full year expectations
Matt Dunn: So I mean, I think we’re building a track record of delivering what we say we’re going to deliver. And in that respect, I’m not sure that 2017 should feel that different from 2016 or 2015 or before. In terms of your question, it’s an interesting question, I think, is our visibility getting better. I think – I’d like to think that the finance function is moved on the quality of insight that we provide. I think why do we feel confident though, I think, because of the level of, I guess, self-help that we have available. So we’ve proactively taken the £5 million of overheads out. We’ve secured Coke, so we know what our forward-looking hedging arrangements are like and so on. So I think that’s why our visibility of what we can do, I think, is quite good. And that’s why this stage, we feel confident subject to the fact that, as I’ve highlighted, the second half is obviously a bigger portion of that profitability than the first half.
Patrick Higgins: Patrick Higgins from Goodbody. Just 2 questions for me. Firstly on GB stills. Encouraging to see that back into volume growth. Could you just give us an idea if you think that’s sustainable, firstly? And how does that split between new contracts that stowaway our new product development. And then secondly, just on Brazil, I think, at the time of the first acquisition, you had targeted doubling of EBITDA. And is that still the target given the macro backdrop? And secondly on the delivery of the cost savings, when do you expect them to come true?
Simon Litherland: Great. Okay. So I’ll do the first 2, Mat. So yes, stills, great to see it back in volume growth. I mean, Robinsons also back into volume growth. Fruit Shoot growing positively. J2O had a tougher second half, as I said, because of price movement, having had a very strong Christmas. And we’re also starting to see some good growth coming from a brand like Drench, for example. So is it sustainable? Yes, I certainly hope so. And obviously, the goal is not only to have volume growth but revenue growth. Having said that, we’re lapping a big Q4 where stills was actually in growth this time last year, but continued to make progress in each of those brands as well as from an innovation perspective. So Refresh’d, for example, has been very well received by customers and consumers alike, although we’re just at the early stages of launch. So I never want to predict specifically. We’ve been talking about stills for some time, but I think it’s certainly good progress and encouraging. And the final bit of the equation, we’ve got about 12% of the revenues coming from new pack sizes or new reach to market, such as dispense. The Brazil goal of 2x EBITDAR is still absolutely the goal we’ve always said it would be pretty much a hockey stick, and it still will be a hockey stick. So we’re in the progress of increasing investment in Brazil behind the Maguary brand and behind the Fruit Shoot, and indeed, in continuing to build the capability and talent that we have in the marketplace. And we’ll see that for the next 1 or 2 years. But we’re confident that the market remains hugely attractive for us and are committed to the long-term goal.
Matt Dunn: So from the synergy delivery perspective, I think we would anticipate by the end of 2018 the vast majority of those synergies would be in our numbers. Exactly how much comes this year versus 2018, I think, is still a little bit early to say. But certainly, we’re in the process of starting to implement the actions that will underpin the synergies.
Richard Felton: Richard Felton from Morgan Stanley. Just a follow-up on A&P, please. You mentioned a couple of times that you’re reducing your nonworking A&P spend. Could you help give us a couple of examples of what you’re doing, how much more upside there is to improve the effectiveness of your A&P spend? And then secondly on input costs, are you prudent [indiscernible] that you set around about 80% hedge for FY ‘17. Is that now 100% locked in? And could you help give us some color – give a color towards input cost inflation and the pressure you might face in FY ‘18?
Simon Litherland: So on the A&P, a number – it’s a wide range of things, but things like agency roster, so we’re doing some work to look at our agency roster and reducing probably the number of agencies that we work with. We’re looking at our research needs and how we combine those and do those on a more global basis which drives benefit. And then we’re getting better at starting to look at more global opportunities, and the best example of that is It’s My Thing campaign or indeed the Idris Elba Thrive On campaign for Purdey’s, which will be used in a number of different markets, and obviously, you get synergies from that. So it is a wide range of initiatives. And as I said earlier, we haven’t finished the work. There’s still more work to do. And obviously, the more of our spend that we can get to be customer-facing, the better.
Matt Dunn: So from a hedge perspective, we are somewhere – well over 90% hedged. So – and in terms of the way our hedging program works, there are 1 or 2 commodities, for example, where we might have a cap and a collar-type arrangement, so I don’t have the exact visibility of exactly what the price is going to be, but in general, we have a pretty good forward view of what our commodity cover is going to be for the balance of this year. As we look forward into FY ‘18, it’s still relatively early to be able to give much certainty as to what is likely to happen. But I think it’s fair to say that we’ve probably returned to an inflationary cycle as opposed to a deflationary cycle. So it’s hard to give you a quantification of that. I would expect – and obviously, it will depend exactly where FX rates move over the next 6 months. But in general, I would say we’re kind of more in an inflationary environment than we have been, and I would expect that to continue.
Laurence Whyatt: Laurence Whyatt from Societe Generale. You mentioned a bit about pricing pressures and a bit about new pack sizes and channel shifting. It sort of makes me think a bit about the discount supermarkets being more influential in your – as your customers. Is that the case? Or is there some other dynamic that’s going on? And secondly, on your cost savings of £10 million in Brazil – synergies of £10 million, you mentioned that’s a minimum figure now. If you manage to exceed that figure, would you expect the additional savings to pull down to the bottom line? Or would they be reinvested into the business or perhaps a mixture of both?
Simon Litherland: So yes, discounters – we’ve always had a pretty good share. We didn’t actually tried with all the much, but across the remaining discounters, we’ve got a good share within them, and that hasn’t really changed. We continue to look at specific packs for different customers. The example I gave earlier of the 3 litre carbonate was specifically for Iceland, but I can give other examples where we put 3 litre, for example, into main retailers, 900 ML into little or in Robinsons. So pack and price architecture is an important piece of the revenue management mix and the margin mix. And that’s one of the reasons why we’re undertaking a supply chain program, because, yes, it’s a cost benefit, but it’s giving us significantly more flexibility, both in PET and in cans and also in healthier or better-for-you production capability as well. So no massive change in mix, but more flexibility is required, and we’re responding to that through that program. I think we’ve always said it was a minimum of I’m not sure we’ve said it was a minimum of £10 million, and we’ll balance that with investing behind the business and dropping it to the bottom line. The curve will be, as I say, invest in the early years and benefit in years 4 and 5, I guess, rather than 1, 2 and 3.
Ed Mundy: I’m Ed Mundy from Jefferies. I’ve got 3 questions, please. First is on Brazil. Do you feel you’ve got the right footprint now for your ambitions in Brazil? The second is on new potential listings, new contracts in GB. Are you able to comment further on how the potential pipeline looks for that? And the third is a slight bigger question on the sugar tax into next year. I think on Slide 14, you’ve disclosed that 70% of your volumes in GB are going to fall below the threshold, which should imply about 450 million litres by back of the envelope for your portfolio that does fall within, taken that it’s very, very worse, that implies about £100 million that needs to be passed on. Clearly, you’re going to have some small packs and not all of it is of 24p rate. But I’d love to get a little bit more color on how you’re thinking around passing it on absorption by the retailers, pack, price architecture and all the other good stuff you’re thinking into 2018.
Simon Litherland: Okay. Good. I mean, the Brazilian footprint is – one of the big reasons for buying Bela Ischia was to improve it. So if you just think of the geographies of Sao Paulo – Sao Paulo state, the Northeast Rio and Minas Gerais, that’s a good chunk of the population, and certainly, a good chunk of the population, and certainly, a good chunk of the wealthier piece of the population, I guess, and the more accessible pieces of Brazil. So I think we’ve got a strong footprint as it is good as it ever will be. There’s more opportunity, but we’ve got a good footprint from which we can grow our existing brands in business and/or indeed bring anything new into the marketplace. In a new contract – we’re constantly looking for new contracts and customers. We talk about them once we’ve done the commercial, but I think we are pleased with this winning business, like Subway or renewing the Mitchells and Butlers contracts or indeed the KFC. I think that demonstrates not only our service levels and the partnership and relationship that we have, but also, I think with the focus on health, I think it demonstrates the breadth of our portfolio and the low- or no-sugar variance that we have in the market. And that’s certainly one of the key things that helps us to keep winning, if you like. And then on sugar, I’ll have you go, you can build on anything, Mat. Your numbers are kind of [indiscernible], actually, let them surprise but they are. I sort of said that they didn’t – they sounded surprised, but I wouldn’t be surprised. But you’ve got to – so, a, consumers are going to continue to move, I guess, and that’s kind of really quite hard to put an exact number on. I think the other thing to remember is that there’s a mix of channel. So as you quite rightly point out, maybe half of it will be at home, either in big PET or multi-pack cans, some multi buys of effect which will be at a higher percentage price increase whereas if you look at on-the-go or into the laser channel, the percentage price increase is much lower and probably much less significantly felt. So of course, we’re doing lots of work on this. We will have the flexibility to upsize packs or downsize packs or do whatever we choose. And we haven’t finished that work yet. We will continue to evolve that over the next 6 or 7 months. But as I said, we do believe in choice, and 94% of Britvic brands, 72% of total portfolio effectively means full-sugar cola and 7UP are the 2 primary constituents of what’s will be text. And I think that’s a good place to be, actually.
Matt Dunn: I think the only build I would have is that in whatever form, we will pass on the levy. And as Tom has said, through pack architecture, it might look slightly different to the numbers you quoted. But in essence, it’s a levy designed to drive consumption. So we will pass it on.
Ed Mundy: I mean, going back to Slide 14, again. By implication, it’s the non-Britvican brands that are going to be more skewed towards that high sugar rates. Is there any potential for possibly some of that to be absorbed in your concentrate feeds to Pepsi? Just thinking about how you could offset that from a cost perspective.
Simon Litherland: Yes. I mean, look, the idea is that we pass on the tax. I think that was the government’s intention. So it’s not really anything to do with Pepsi and Britvic relationship or pricing mechanism. But you’re going to remember, our big focus had been on mix, always has been, and we’re continuing to take share and very excited about the market ahead, quite frankly. So no, there’s no massive shift in that at all. It’s something for us to talk about who are the retailers and then what they do with the consumer price is, obviously, up to them.
Unidentified Analyst: I’ve got 4 questions, I’m afraid. Is it possible to dispose the project that Robinsons Refresh’d in terms of volume is expected to provide that in resources? Can Mat disclose the extra stocks of Rugby, please? And back in November, I think the general expectation was that £25 million to £30 million of acquired costs would have to be passed on this financial year. Is that range still about valid? How’s to that now duly being passed on, do you think? And finally, you said that with respect to Brazil about the scale and timeliness of the price rises?
Simon Litherland: Okay. So I’ll do the first. We don’t break out to that level. We will be launching. Refresh’d is going to the market now. You can certainly find it in some outlets already. It will be in wide distribution by June. And we do have a marketing program, which will be above the line and digital and trial mechanisms and part of Wimbledon promotion in store. So it is a very significant campaign. . But we don’t break out to that level of detail. I leave the other three to you, Mat.
Matt Dunn: Okay. So from a stockholding perspective, if you actually look at stockholding year-over-year, I would say the vast majority of that relates to the stockholding in the U.K. So most of it will be related to the rugby plant. There were some ups and downs as they always are, but the majority of it relates to that. In terms of the cost price and the numbers you quite broadly still hold, I would say that we’ve been successful in achieving our revenue management objectives across the group. We still have some revenue management to do in Ireland just because of the phasing of our business plans there. So there’s a little bit still to do there, but in general, I would say, we’ve done most of what we plan to do. Brazil is probably slightly different to the rest of the group in that pricing is a much more fluid environment than it would be in somewhere like GB where we tend to have a tend to have a JVP and agree an annual contract certainly with a major grocers. In Brazil, it tends to be – it can change from month-to-month from quarterly cycle to quarterly cycle, and it will, to some degree, depend on the input cost inflation on the different respective juices. So it’s a bit more of a fluid environment, and in general, what we sought to do there is pass on the underlying inflation we’re experiencing. So our approach has been to do that and try and maintain our margins and that’s the – I guess, that’s the approach that we continue to adopt going forward.
Stoyko Moev: Stoyko Moev from JP Morgan. I just got a question on the JV supply chain program. Now that you’re pretty much halfway through the program, can you just give us a bit more color? Firstly, are there going to be any cost savings from the program in this year? And secondly, are you sticking to the £21 million savings expected in 2020? And then maybe a bit more color on what are the next steps in the program?
Matt Dunn: So in essence, we’re not changing our guidance right now. We’re still right in the middle of the program. We haven’t announced the kind of final phase. So it’ll be probably premature to do anything right now. In terms of savings in this year, Simon referred to some of the benefits from the Leeds line, for example, which would be benefiting this year. He referred to the 3 litre pack in Iceland, is another example, something we couldn’t have done pre the supply chain program. So there are benefits starting to flow through our numbers. As I highlighted when I spoke that we also are starting to experience the depreciation. So I think we’d originally guided to a benefit of about £1 million of EBITA in this year’s numbers. We quoted that quite a long time ago, I think, at the start of 2016. But broadly those numbers still hold in terms of the sort of contribution you’d expect to see over the year. I mean, we would expect that probably to be reasonably evenly split across the year, because it is mostly coming from the what we’ve done in Leeds and [indiscernible] You had the question.
Stoyko Moev: 21 million at the end.
Matt Dunn: Yes. I’d say, our guidance broadly holds. So therefore, my expectation is still that if you do the math on the £240 million of investment, you’d end up at that kind of number.
Christ Pitcher: Christ Pitcher from Redburn. First question on the sugar situation. If you think back to the Robinsons sugar withdrawal, they were consumers who were committed sugar drinkers. Have you done consumer surveys to consumer surveys to find out what consumers’ attitude are towards sugar? In many cases, will cases, will it become, do you think, a premium product people prepared to pay up for the sugar variant, because, obviously, the price gap between nonsugar and sugar will become quite pronounced. And then you mentioned that 7UP wouldn’t Can you discuss a bit the relationship with Pepsi around that, because my belief is that Sprite will be reformatted. So in the full-sugar format, there could be a huge price differential. And then last question, sorry, on Brazil. Some of the major drinks manufacturers have been through a very difficult cost situation because of currency but are now moving into much more benign environment in the second half as hedges roll off. Are you seeing a similar dynamic in your Brazil business vis-a-vis non-real costs certainly for the next six months or so? Thank you.
Simon Litherland: Yes. So I mean, yes, we are doing work on price and consumer attitudes and, I guess, have done for some time. It’s really quite difficult to predict exactly what’s going to happen, because some of these price differentials, particularly on the big packs, are significant. It also will depend on how retailers choose to react and whether they change layouts, for example, in store. So the answer is we can’t be specific, and some of it will be – to be prepared is to be flexible as we go into it, I think, with as much knowledge as you can, but to be able to be agile and respond as we can see consumer behaviors start to evolve, if you like. On a net basis, I do think we’re in a great place just from the portfolio, from the focus on Max within the cola category and the fact that we will keep some choice within the range. So it’s the first point. I think the second point, I don’t know if I said that 7UP wouldn’t be reformulated. Okay. I did tell it. You’re right. Full-sugar variants, which are of two biggest ones we have at the moment are cola and 7UP. It’s highly likely that we might reformulate 7UP. Obviously, that’s a Pepsi conversation in choice, but that’s possible. It’s less likely that we will reformulate Pepsi full sugar, given our focus on Max.
Matt Dunn: And then from a Brazil point of view, maybe it reflects the scale of their business. We don’t have a huge amount of non- real costs and almost all of that cost in Brazil are real, and we can get most of the raw materials. In fact, I mean, Brazil is the biggest juice producer in the world. So we get the vast majority of our raw materials from Brazil. So there’s not – it’s not going to make much difference one way or the other. What we are starting to see, though, although it’s quite early days, is as the exchange rate kind of flow through having had you start to see the ability for people to sell raw materials outside of the country becoming less beneficial, and therefore, the kind of you must have less imported inflation is probably the best way to describe it. But I wouldn’t see that dropping. I would say that kind of tapering off as opposed to actually going down again. It will probably normalize as opposed to keep going up, which is what’s been happening.
Simon Litherland: Very good. Okay. I think it looks like the last question. So thanks, everybody, for coming. And thanks very much for your questions. Have a good day.